Operator: Hello, and welcome to the Ingersoll Rand 2024 Fourth Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Matthew Fort, Vice President of Investor Relations. You may begin.
Matthew Fort: Thank you, and welcome to the Ingersoll Rand 2024 fourth quarter earnings call. I'm Matthew Fort, Vice President of Investor Relations. And joining me this morning are Vicente Reynal, Chairman and CEO ; and Vik Kini, Chief Financial Officer. We issued our earnings release and presentation yesterday afternoon, and we will reference these during the call. Both are available on the Investor Relations section of our website. In addition, a replay of this conference call will be available later today. Before we start, I want to remind everyone that certain statements on this call are forward-looking in nature and are subject to the risks and uncertainties as discussed in our previous SEC filings, which you should read in conjunction with the information provided on this call. Please review the forward-looking statements on Slide 2 for more details. In addition, in today's remarks, we will refer to certain non-GAAP financial measures. You can find a reconciliation of these measures to the most comparable measure calculated and presented in accordance with GAAP in our slide presentation and in our earnings release, both of which are available on the Investor Relations section of our website. On today's call, we will review our company and segment financial highlights and provide full year 2025 guidance. For today's Q&A session, we ask that each caller keep to one question and one follow-up to allow time for other participants. At this time, I will turn the call over to Vicente.
Vicente Reynal: Thanks, Matthew, and good morning to all. Starting on Slide 3, the key to our financial durability is our economic growth engine, which helped us to deliver outperformance in 2024 with double-digit adjusted EPS growth and strong free cash flow margin despite a very dynamic global market. Looking towards 2025, we see continued growth underpinned by organic investments and plenty of runway for our inorganic growth, with over 200 active targets in the funnel. And we also expect strong operational execution through the use of our competitive differentiation, IRX. Most importantly, I want to thank all of our employees around the world for their contributions and always thinking and acting like owners of the company. On Slide 4, we’re highlighting the differentiated company results delivered through our economic growth engine. With IRX underpinned by our innovative employee ownership model, we have created an increasingly durable financial profile with over 20,000 employees working towards our company's common goals. As shown on the page, over the cycle, we have either delivered or outperformed our long-term Investor Day targets across all targets. On Slide 5, we continue to be a leader in sustainability, delivering financial performance while also doing good for the planet, our community and our employees. On the left hand side of the page, for the third year in a row, we were named to the Dow Jones Best-in-class Indices, ranking number one in our industry and finishing in the top 1% of the Corporate Sustainability Assessment. Also for the second year in a row, Ingersoll Rand was named to the A List for our commitment to global environmental leadership by CDP. CDP's annual environmental disclosure and scoring process is globally recognized as the gold standard for corporate transparency. As you can see on the right hand side of the page, with the ownership equity grants provided and through the performance of the company to date, we have created approximately $700 million of incremental wealth for our employees. We strongly believe that the combination of our ownership mindset and creating a great place to work is a true catalyst for long-term performance. Moving to the next page. Since the merger with Ingersoll Rand in 2020, we have transformed the company into a premier growth compounder. We reduced cyclicality through divesting our Club Car (ph) and HPS businesses, and we have reinvested approximately $5.4 billion into accretive acquisitions focused on high growth sustainable end markets. Through this transformation, in just three years, we have nearly doubled our total addressable market, both through acquisitions and with continued organic investments in product and service innovation. We believe that we're very uniquely positioned to grow our market share within the $67 billion highly fragmented market through the combination of our innovative product portfolio, multichannel, multi-brand strategy and robust commercial and operational footprint, which is well-positioned for the current dynamic macro environment. On the right hand side of the page, I want to highlight that our M&A strategy remains unchanged, and that we will continue to be disciplined in our approach for M&A execution, creating shareholder value while further positioning ourselves in highly attractive end markets. Turning to Slide 7. We continue to diversify our products and portfolios into high growth sustainable end markets, and have expanded our total addressable market by approximately $12 billion in 2024. We acquired approximately $625 million in annualized revenue from 18 acquisitions at less than 14 times pre-synergy adjusted EBITDA multiple purchase. And currently, we have seven additional transactions at the LOI stage, as shown on the right hand side of the page. Since our Q3 earnings call, we have closed on six companies, including channel acquisitions. We have added four new companies to the LOI stage and abandoned one transaction. Our M&A funnel remains strong with over 200 companies currently in the tunnel and we expect to acquire an additional 400 basis points to 500 basis points of annualized inorganic revenue in 2025, which will be incremental to our current guidance outlined later in this deck. On the next slide, having already closed on multiple transactions this year, we're off to a strong start to achieving our 2025 annualized inorganic revenue acquired target. On this page, we're highlighting three acquisitions which are highly aligned to our M&A strategy. Bolt-on in nature, these acquisitions expand our capabilities in core technologies focused in high growth sustainability markets. And with an average of less than 10 times pre-synergy adjusted EBITDA purchase multiple, we continue to demonstrate our disciplined approach to M&A and expect to meet a mid-teens ROIC on average for these deals by the end of the third year of ownership. I will now turn the presentation over to Vik to provide an update on our Q4 and full year 2024 financial performance.
Vik Kini: Thanks, Vicente. Starting on Slide 9, we delivered strong results through our competitive differentiator, IRX, despite a very dynamic global market. Total company orders and revenue improved sequentially, both of which finished largely in line with expectations. In our underpenetrated markets, which include Latin America, the Middle East, India and APAC, excluding China, we saw robust growth in both orders and revenue. These results underscore the focused investments for growth we continue to make in these markets. The company delivered third quarter adjusted EBITDA of $532 million, a 6% year-over-year improvement, and near record adjusted EBITDA margin of 28%, a 50 basis point year-over-year improvement driven predominantly through gross margin expansion. Adjusted earnings per share was $0.84 for the quarter and $3.29 for the full year. We continue to deliver our long-term Investor Day targets of double-digit EPS growth, finishing up 11% for the full year compared to 2023. Free cash flow for the quarter was $491 million, delivering a robust 26% free cash flow margin in the quarter. Total liquidity was $4.1 billion, with $1.5 billion of cash on hand at quarter end, demonstrating the tremendous strength of our balance sheet. Turning to Slide 10. For the total company, Q4 orders were up 8% and revenue increased by 4%. Book-to-bill for the quarter was 0.95, finishing in line with our previous guidance of above 1 time in the first half and below 1 time in the second half. Total company adjusted EBITDA increased 6% from the prior year, expanding margins 50 basis points year-over-year, with corporate costs coming in at $32 million for the quarter, which is down $15 million year-over-year due in large part to management incentive costs. Finally, adjusted EPS for the quarter finished $0.84 per share, including a Q4 adjusted tax rate of 23.4%. On Slide 11, for the full year, total company orders were up 4% and revenue increased 5%. Book-to-bill finished the year at 0.98, which finished largely in line with expectations. Total company adjusted EBITDA increased 13% year-over-year, with adjusted EBITDA margin finishing at record levels of 27.9%, up 190 basis points from the prior year. Corporate costs finished the year at approximately $155 million, which is down $18 million year-over-year. The year-over-year declines, once again are largely attributable to reduction in management incentive costs as compared to the prior year. Finally, full year adjusted EPS finished at $3.29 per share, up 11% year-over-year with a full year adjusted tax rate of 22.2%. On the next slide, free cash flow for the quarter was $491 million, including CapEx, which totaled $35 million. Total company liquidity now stands at $4.1 billion based on approximately $1.5 billion of cash and $2.6 million of availability on our revolving credit facility. As Vicente mentioned earlier, we are targeting 400 basis points to 500 basis points of annualized inorganic revenue acquired in 2025, and still have seven additional transactions currently under LOI. With over 200 companies currently in the funnel and our continued strength in free cash flow generation, we are confident in our ability to deliver on this target. Leverage for the quarter was 1.6 turns, which was a 1 turn increase year-over-year and a 0.1 turn improvement sequentially versus Q3. As a reminder, the year-over-year increase in leverage was driven primarily due to the purchase of ILC Dover earlier in 2024. Specifically within the quarter, cash outflows included $200 million deployed to M&A as well as $71 million returned to shareholders through $63 million in share repurchases and $8 million for our dividend payment. I will now turn the call back to Vicente to discuss our segment results.
Vicente Reynal: Thanks, Vik. On Slide 13, fourth quarter orders for ITS finished up 3% year-over-year and were approximately flat organically. Excluding the impact of China and the power tools and lifting business, Q4 organic orders grew low-single digits. Revenue finished down low-single digits organically, with the largest impact coming from our China business. Our ITS segment delivered solid year-over-year adjusted EBITDA margin expansion of 30 basis points on top of near record level margin from the prior year. For the full year, adjusted EBITDA margin finished at a record level of 30.2%, already meeting our 2027 targets three years ahead of schedule. Moving to the product line highlights. Compressor orders were up low-single digits, industrial vacuum and blower orders were up mid-teens, and power tools and lifting orders were down mid-single digits. Highlighted here on our innovation in action is our new PureAir oil-free compressor. This product is a great example of Ingersoll Rand's multichannel, multi-brand strategy, providing an innovative digitally enabled sustainable solution with a market leading 14% energy efficiency improvement. With 100% oil-less technology, this product is perfect for applications which require FDA approval. Turning to Slide 14. Orders in PST were up 29% and revenue finished (ph) 24% year-over-year largely driven by M&A. Fourth quarter organic orders finished slightly down year-over-year. However, it is important to note that we did see low-single digit organic order growth, excluding the impact of China. PST delivered adjusted EBITDA of $107 million, which was up approximately 14% year-over-year with a margin of 27.6%. The year-over-year decline in Q4 adjusted EBITDA margin was largely due to the impact of lower volumes in the Aerospace & Defense business within the ILC Dover business, as well as the flow through related to organic volume declines, primarily attributed to China. Important to note that PST finished the full year at approximately 30% adjusted EBITDA margin despite the organic growth headwinds. I would also like to take a minute to review some key highlights within our ILC Dover business. In the fourth quarter, ILC Dover Life Science business grew revenue double-digits, which demonstrated their continued ability to deliver above market growth. Also, I am pleased to announce that in December, we reached $150 million plus multiyear agreement for our legacy space suits business. This long term deal has been incorporated in our 2025 guidance, and we remain optimistic about the opportunities for growth within the Aerospace & Defense business. For our PST innovation in action, we're highlighting a new Diaphragm Metering Pump, which offers increased energy efficiency and 20% reduction in total cost of ownership. This is a perfect example of innovation, generating over $50 million of additional market opportunities in key markets that include water and wastewater. Moving to Page 15. We're introducing our 2025 guidance. Total company revenue is expected to grow between 3% and 5%. We anticipate organic growth of 1% to 3%, where price and volume are split 75% and 25%. FX is expected to be approximately a 2% headwind for the year. M&A is projected at $300 million which reflects all completed and closed M&A transactions in 2024, as well as the acquisitions of SSI Aeration and Excelsior Blower Systems discussed earlier. Corporate costs are planned at $165 million and are expected to be incurred evenly per quarter throughout the year. Total adjusted EBITDA for the company is expected to be in the range of $2.13 billion and $2.19 billion. At the bottom of the table, adjusted EPS is projected to fall within the range of $3.38 and $3.50, which is approximately up 5% at the midpoint. We anticipate our adjusted tax rate to be roughly 23%, net interest expense to be about $220 million and CapEx to be around 2% of revenue. On the right hand side of the page, we have included a 2025 full year guidance bridge showing the growth associated with the operational activity and the impacts associated with FX, interest income and expense, tax rate, corporate cost and share count. On the next slide, we have provided some additional commentary regarding the phasing of our 2025 full year guidance. So let me touch on a few key highlights. We expect total revenue growth to be consistent across both the first and the second half of the year at approximately 3% to 5%. Consistent with what we have seen over the past few years, we expect sequential improvement throughout the year, with Q1 being the lowest quarter in terms of revenue. To put a finer point on Q1, we expect to see a very similar percentage decline in terms of revenue from Q4 '24 to Q1 '25 to what we saw in the prior year. But that should equal to a low-single digit total revenue growth in the first quarter. The 2025 phasing of both our revenue and adjusted EBITDA remains consistent with prior years. And this is illustrated on the right hand side of the page, showing both our historical revenue and adjusted EBITDA phasing since 2021 and our assumptions for 2025. Finally, we expect adjusted EPS to follow the adjusted EBITDA phasing, with a 46% to 54% split between the first and second half of the year. Turning to Slide 17. Ingersoll Rand is well positioned for strong operational performance in 2025. We remain nimble and we're prepared to be about in what continues to be a very dynamic global market environment. We continue to differentiate Ingersoll Rand as an investment delivering double-digit revenue and adjusted EBITDA growth on average since 2020. To our employees, I want to thank you again for your part in delivering another record year. We delivered strong results by demonstrating our commitment to meeting our financial targets and executing our economic growth engine through the use of IRX. Today, our balance sheet remains stronger than ever, and we enter 2025 well-positioned to build upon our success to date. With that, I'll turn the call back to the operator and open it up for Q&A.
Operator: Thank you. [Operator Instructions] You first question comes from Mike Halloran with Baird. Your line is open.
Michael Halloran: Hey. Good morning, everyone.
Vicente Reynal: Good morning, Mike.
Michael Halloran: Can we just talk a little bit about some assumptions embedded in the guidance from a demand perspective. Essentially, how are you thinking about what the underlying demand cadence looks like through the year more qualitatively? Are you expecting any improvement in end markets, more stability? Thoughts on how you think the orders play out this year, and what kind of growth assumptions we're assuming as we move forward?
Vicente Reynal: Yeah, Mike. So kind of let me frame it this way. As we discussed in terms of total revenue phasing, we're expecting to look very quiet similar to what we have seen historically. So if you think about the total revenue and EBITDA, it is consistent with prior years from -- and then from an overall organic growth perspective, just as a reminder, price is approximately 70% of the total, and we can clearly control that, as you know. And the other 25% is coming in from positive volume. And for that, we continue to be highly encouraged by the many growth initiatives that we're driving, such as the unpenetrated region acceleration that we talked about, very specific targeted new product development and obviously, our continued progress on recurring revenue. When you think about the organic growth is expected approximately flat in the first half of the year, with approximately 4% growth expected in the back half of the year. And again, of that 4% back half organic growth, approximately half of that will be realized through pricing. So we're just talking about a 2% organic volume in that second half. And as I said, a lot of good organic investments that we're driving. And yes, comps also moderate in the back half of the year, which also helps. In terms of the regional perspective, when you think about it from a high level growth assumptions at the regional level, America is planned to be in the upper end of the low-single digits. Mainland Europe planned towards the lower end of the low-single digits. China, assuming completely flattish. And then Middle East, India and the rest of Asia is assuming the mid-single digit range.
Michael Halloran: Okay. And just a final point there. Is there an assumption for end market improvement embedded in the guidance or is it relative stability from where we sit here today?
Vicente Reynal: Reliability from where we sit here today, yeah.
Michael Halloran: Okay. Thanks for that. And then on the PST side, can you maybe just talk a little bit about the margins in the quarter, a little worse than we were expecting. And how to think about that ramp as we work through this next year?
Vik Kini: Yeah. Sure, Mike. This is Vik. I'll take that one. So in terms of within the quarter specifically, two major drivers that we'd point out. I think we called out kind of during the prepared comments. First is specifically lower volumes as we kind of talked about within the ILC Dover Aerospace and Defense business. So you had a bit of the deleveraging you saw there with the lack of volume, largely coming from the lack of the large space suit contract and things of that nature that we've talked about historically. The other piece is, the impact from the organic volume declines, which is, I'd say, the largest driver of that is coming from China. Now as we think about going forward, I think we remain quite optimistic about the long-term margin profile and the ability to get to our kind of Investor Day targets of those mid-30s over time. When you think about the drivers, first and foremost, as you've seen historically, one, we expect to continue to remain price cost positive throughout every single quarter like you've seen historically. Two, we do have a pretty robust productivity funnel. Three, I'd say, there has been some targeted restructuring that has been done. And then, the other piece of the equation here is, as you would expect, now that we've kind of owned ILC Dover for a little over six months, you typically see a lot of that margin expansion as we start a lot of the integration activities, synergy activity, things like that, really ramp into the, let's say, first year into the second year. And that's exactly what we're expecting to see as we move through '25. So we would expect to see returning back to that 30% EBITDA margin profile as we progress through 2025. We feel pretty comfortable about the ability to control that margin profile going forward.
Michael Halloran: Thanks. Appreciate it, guys.
Vicente Reynal: Thank you.
Operator: The next question comes from Julian Mitchell with Barclays. Your line is open.
Julian Mitchell: Hi. Good morning.
Vicente Reynal: Good morning.
Julian Mitchell: Good morning. Maybe just wanted to start with the orders. It seemed that maybe they fell a touch light in Q4 versus what you had thought. Was that all related to China or anything else happening there? And when we're thinking about the first quarter, I think organic sales year-on-year are down low-single digits or so, assuming a book-to-bill slightly above 1 for normal seasonality. Are we thinking sort of flattish orders just mechanically for Ingersoll year-on-year in Q1?
Vicente Reynal: Yeah, Julian. So to answer the first question, yes. I mean, it was basically primarily driven by China. China was a bit softer than anticipated, driven largely by kind of timing on a couple of large orders that kind of making the overall company organic order growth essentially flat. I think it's important to note that, also in Q4 -- I mean, China book-to-bill was actually approximately 1, which is encouraging. And also when you compare the first half of 2024 to the second half of 2024 for China in terms of orders, China was basically essentially moving sideways which speaks to some stability. Also, as you heard, excluding China, we will have finished up low-single digits in terms of organic orders in both segments, which speaks to the continued resiliency across the other regions despite this ever changing dynamic environment. And I think looking forward, in respect to the timing of those large orders, I mean, they're not gone. They're just kind of moved sideways. We continue to see very good funnel momentum on these longer cycle projects, which is, they just haven't converted yet. But as we kind of enter 2025, that kind of bodes well. And the good news is, the dialogue remains very, very active.
Vik Kini: Yeah. And Julian, on your second part of your question with regards to Q1, I think your read on the kind of organic revenue growth of down low-single digits is in line with -- that's with in line with expectations. On the orders front, I'll say, we don't guide on orders externally. But as we've historically said, this is a business that tends to be around 1 on a full year basis. And sitting here today, I don't think we see anything materially different than what we've seen historically on the seasonality front.
Julian Mitchell: That's helpful. Thank you. And then my second question, I just wanted to circle back on PST, how you're sort of thinking about the EBITDA margin cadence through 2025 and sort of general satisfaction with the ILC Dover performance.
Vicente Reynal: Hey, Julian. Maybe I'll start with the ILC and then let Vik talk about the margin cadence. I mean ILC Dover continues to improve and doing pretty well. I would say very, very happy with the Life Science businesses in ILC Dover that we continue to see double-digit revenue growth, which is in line with expectations, but way above the market. We're also having a lot of very good cross selling and revenue synergy opportunity. And I think the conversation goes really well with some pretty large medical device customers, that they're pulling us into conversation, not just as ILC Dover, but holistically as a total Ingersoll Rand. And that's a recent event that just happened here over the past couple of weeks, and that's continuing exciting to see. We've done a lot of work at ILC Dover, including restructuring, as Vik mentioned. But now we're organized into three distinct P&Ls and that including also some new leadership in the P&L side. And this is driving a greater visibility and focus all around. Everything around the IRX implementation is going really well. Here at the end of the quarter, we're going to have a nice session around what we call Commercial Excellence Execution, which is another tool that we have in our tool bolts of IRX. So I'll say, continue to pursue the good momentum and very happy to see the continued performance on the business.
Vik Kini: Yeah. And then, Julian, on the margin front, let me just take a step back and kind of calibrate. When we did our Investor Day, we kind of said that PST, we would expect approximately 100 basis points of margin expansion on an annual basis. And I think the reality in kind of what's baked in the guide here is actually slightly better than that. If you look at the full year for PST, we finished at 29.6% EBITDA margin, obviously, a slightly lower number than that here in Q4. But as we now kind of transition into 2025 with a lot of the factors that Vicente said, the integration on the ILC Dover side, we would expect to see, I'd say, back kind of more in line with where you've seen historically, playing closer to that 30% range and sequentially improving, obviously, the easiest comp being in Q4 of next year.
Julian Mitchell: Thanks very much.
Vicente Reynal: Thank you.
Operator: The next question comes from Jeff Sprague of Vertical Research. Your line is open.
Jeffrey Sprague: Hey, thank you. Good morning, everyone.
Vicente Reynal: Good morning.
Jeffrey Sprague: Wanted to touch base on the Aerospace & Defense business. I think obviously, you bought ILC Dover for the Life Science business, and that makes sense, right, and space suits kind of came along for the ride. But at the time, you did indicate you liked the business and may build and grow there. It seems like it's become more of a distraction than anything. So really, my question is, would you actually commit additional capital to these air and defense-related businesses? Is there stuff in your pipeline or your funnel that plays into this space?
Vicente Reynal: Yeah, Jeff. So as you recall, we always said that the Aerospace & Defense was kind of optionality, an optionality both ways. One, clearly, to learn more about the space economy and the relationship that the strong relationship that ILC Dover on that aerospace side has with many customers in that industry. And it has led to some kind of cross revenue synergies with some of our other compressor businesses like as selling Haskel helium blanketing for some of the rocket shipment or rocket ships. Now as we said, the kind of optionality to your question in terms of the M&A, do we have anything in the funnel for the Aerospace & defense things? The answer to that is no.
Jeffrey Sprague: Okay. Great. And then just on the 400 bps to 500 bps of M&A impact. I just wanted to be kind of clear on that. So that's sort of excluding any wraparound effect from what you did in 2024, and would just be the annualized impact of what might get accomplished in 2025?
Vicente Reynal: That is correct. Yes. So we're saying that, that 400 basis points to 500 basis points is incremental to what we have in the guidance.
Jeffrey Sprague: Got it. Thank you.
Operator: The next question comes from Rob Wertheimer with Melius Research. Your line is open. Rob, perhaps your line is on mute?
Rob Wertheimer: I'm not on mute. Can you hear me now?
Vicente Reynal: Yes.
Vik Kini: We can hear you. [Multiple Speakers]
Rob Wertheimer: I wasn't on anyway. So sorry about that. So I think your comments on China were clarifying and that doesn't seem like you experienced kind of a macro slowdown in the quarter, but rather order comps. But could you talk about China in a more general sense? It's been tough to call for a while now.
Vicente Reynal: Yeah, Rob. I think you kind of faded away there for -- so I think your question really is just talk about China and kind of what we see there. I think we see stability. I mean when you look at the order rates, first half to the second half, kind of fairly stable in the business. Also, when you kind of unpack China, there are some very good pockets of growth. I mean we have some businesses like the blower and vacuum business that is actually growing organically at high-single digits. So we're seeing that the investments we're making in kind of localizing some technology and some very targeted focused in some specific end markets, it seems the payback of those investments into positive organic growth in China. So that's kind of the good news. I think in China in 2024, clearly, we were coming into a year that we had some very tough comps from 2023. I mean 2023, the China team were growing at a pretty accelerated pace driven by electric vehicle investment, battery, solar production, which obviously that did not reoccur in 2024. And so I would say that the 3 times that I spent in China last year, I could see progress in movement in terms of stability. So I mean, the only thing I'll add to that here, Rob, is that as we said we have been trying to also kind of pivot and reinvest a lot of our energy and organic investments outside of China. And that's exactly what you're seeing with the commentary that we just made. I was just in Vietnam. I was in Australia, as well a few weeks ago. And the momentum that we see in those countries based on the investments that we’re making, it is very, very encouraging. Very exciting to see the teams push through the initiatives as we see some of the growth move away from China and into some of those regions.
Operator: The next question comes from Andy Kaplowitz of Citigroup. Your line is open.
Andy Kaplowitz: Good morning, everyone.
Vicente Reynal: Good morning, Andy.
Andy Kaplowitz: It's interesting that you didn't speak about MQL this quarter, maybe you want to get away from that, but can you give us an update on how your MQLs are looking? Last quarter, you mentioned they were still up 12% year-over-year, 7% sequentially. But that lead times at MQLs were getting extended. Have they extended further? MQL still up or maybe stepping back, how do you feel about your short-cycle businesses outside of China?
Vicente Reynal: Yeah. No, good question there, Andy. And MQL activity remains strong and finished the year up low-double digit, both in the fourth quarter and for the full year of 2024. So we continue to be encouraged by what we see on the MQL. And I would say that as we kind of move here -- now I would say also though that, long cycle pipeline, as we talked about historically, but we did not verbally mention that here. I mean the pipeline for that loan cycle, it's also up low double-digit for the full year 2024, which is also very encouraging. So we're encouraged by the strong growth we saw in those MQLs and loan cycle. Now clearly, we spoke before about the elongation of decision making and things are happening as fast as historically has been, that continues to be the case. I will also say that on a better news, the customer conversation activity has increased and we see better momentum of conversations happening and potentially turning into some decision making here as we move into 2025. So I would say that we continue to be encouraged, Andy. And the other thing I will highlight is that -- I was also in Poland with our team into demand generation center a few weeks ago, and we have just an incredible talented team there that is taking this demand generation of creating the MQLs, but taking it to the next level. So...
Andy Kaplowitz: Very helpful. And then just back to the PST margins for one second, I think we understand that margin improvement to be slowed by weaker organic. But a lot of times when a company does a lot of M&A, it's hard to integrate the acquisitions, margin improvement slows. You're already at 30%, which is high. So I think, Vik, you mentioned some targeted restructuring. But maybe any lessons learned in terms of the greater acquisition strategy as this was a larger deal for you? Do you approach acquisitions differently at all? Maybe integrate differently, because you like very good at integrating, as you know.
Vik Kini: Yeah, Andy. I think the simple answer is nothing of any -- that I would speak to specifically. We've had experience integrating larger assets. As for example, in the PST business, you had Seepex a few years ago, and we were pretty explicit that that's a fantastic differentiated technology, healthy gross margins, but the EBITDA margin profile was kind of in that, let's call it, mid-teens area and we had the kind of glide path to get to kind of fleet average for PST, and that's essentially where it's playing right now. As far as ILC Dover, I think, obviously, yes, you've had some of the volume deleverage and things of that nature on the aerospace and defense side. But I think in terms of the core integration, the ability to kind of, as Vicente mentioned, kind of restructure the business, three distinct P&Ls, some new leadership there and getting a little bit more streamlined, absolutely. I would tell you from an integration and kind of a pure blocking and tackling perspective, the ILC Dover has really progressed on that end in terms of our kind of core processes, utilizing IRX and then quite frankly, a lot of the core, I'd say, day-to-day processes that you've seen in Ingersoll Rand. So nothing I would point to that is really dramatically different from the ILC Dover perspective. And it's also worth noting the same can be said for, I'd say, the balance of the smaller bolt-ons that you saw in 2024 as well.
Andy Kaplowitz: Appreciate the color.
Operator: The next question comes from Stephen Volkmann of Jefferies. Your line is open.
Stephen Volkmann: Hey, good morning, everybody. Thanks for taking the question. Sorry if I missed this. I know you talked about incrementals 45%, 50%. Should we think about those pretty similarly, Vik, in both of the segments?
Vik Kini: Yeah. Thanks, Steve. So I think the answer there is, generally speaking, yes. I think there's maybe a little bit more opportunity on the PST side, particularly, as you get to the back half of 2025, just given kind of some of the margin comps you have. But generally speaking, I think they're in that comparable ballpark. That's correct.
Stephen Volkmann: Okay. All right. Thanks. And then, Andy I think almost touched on the question that I was going to ask, but it feels to me like you have sort of two competing targets here relative to margins, especially on PST, but also continuing to drive that 400 basis points to 500 basis points of M&A. As you know well, these M&A margins often come in a little bit lower at acquisition. And so, it just feels like those two goals are kind of at odds with each other. And I'm curious, Vicente, how you sort of balance that as you think about hitting those PST margin targets in the mid-30s.
Vicente Reynal: Yeah. Good question there, Steve. A couple of things I'll say. Not all acquisitions are margin accretive. I want to highlight maybe one in the PST segment called ADI, which was a high-pressure pump that we acquired a couple of years ago. And if you remember, we acquired that business, they had 50% EBITDA margins. Today, that's 60% EBITDA margin. So I think it speaks to the power of what we can continue to do with good, I mean, great businesses at good solid margin that we can make them even better. So I would say that we balance. Our M&A approach is based on the quality of the business that we see from an end market perspective exposure that we can see high growth, sustainable end markets, with a margin profile that if it is not at that fleet average that we can continue to improve. So I would say that good blend. Even in our funnel today, we have an M&A portfolio of companies that could go into PST that could look -- that are basically at a higher margin than the fleet average PST. So again, it's -- and I would say we look at that consistently. And the fact is that not every business is going to be margin accretive.
Stephen Volkmann: Got it. Okay. So those seven LOIs, I should just assume are 50% EBITDA margin.
Vicente Reynal: Not all of them.
Stephen Volkmann: Thank you, guys.
Vicente Reynal: Thank you.
Operator: The next question comes from Chris Snyder with Morgan Stanley. Your line is open.
Chris Snyder: Thank you. You mentioned a couple bigger projects in China pushing to the right in Q4. Do you think that this was related to the U.S. election outcome and just the expectation that incremental tariffs are coming? I mean, just in that same vein, has customer conversations in China changed following the election?
Vicente Reynal: Yeah. No, great question, Chris. Specifically this project, no, they were not related to the election. This is, I mean, when you go to China, I mean China is becoming a pretty large from an EPC perspective, engineering project and contracting companies, and it had to do with end user technical specifications and kind of more conversations as to these projects that require some of our critical technology. So in those cases, it was not related to the election. In terms of overall, have we seen anything further from China as related to the elections, I would say not dramatic. And keep in mind that January for China is kind of typically slow because of the Chinese New Year and things of that nature. But conversations with our team in China continue to be very positive as kind of they think about what could be -- could happen here in 2025, but nothing that we have seen, election wise related, positive or negative.
Chris Snyder: Thank you. Appreciate that. And then maybe following up with one for Vik. It sounds like this year, we're going to get that typical revenue step down into Q1. Usually, that is accompanied by a sequential step down in margins on the lower volumes. Last year, we didn't get that. So it feels like this Q1 margin comp is maybe particularly difficult. Should we expect margins to be down year-on-year in Q1? Any color on that would be appreciated. Thank you.
Vik Kini: Yeah. Chris, let me start with your first comment in terms of, and I think Vicente mentioned in our prepared remarks, the kind of normal sequential step down you see from Q4 to Q1. I think you're going to see a very similar level that you saw kind of prior year. So I think that's completely fair. I think in the context of the margin profile, you're right, we kind of came into the year in 2024 relatively quite healthy margins. I think that will be our steepest comp in the context of year-over-year. So should you expect to see meaningful margin expansion in Q1? No, I wouldn't say that. I would taper those expectations in that respect. I do think, though, as you progress through the year and particularly as you get to the back half of the year, and as I said earlier, clearly, Q4, I think that's where you'll continue to see the step up in margin. And I think the good news here is, I think a lot of the same levers that have historically existed, I mentioned before, pricing, productivity, some of those target restructuring actions, which have already kind of occurred, which means you can kind of see them go into the run rate, as well as some of the M&A synergies, are all going to kind of bear. And then maybe the other piece to mention here that we actually haven't mentioned yet is the progress on recurring revenue. We continue to be really pleased with the kind of the trends that we're seeing kind of across the board. We did see a nice pickup on recurring revenue kind of in line with expectations. And as expected, that comes with a bit of a margin premium. So you are seeing that largely on the ITS side, and that is definitely helping, I'd say, on the mix side as well as the margin profile.
Chris Snyder: Thank you. Appreciate that.
Operator: The next question comes from Nicole DeBlase with Deutsche Bank. Your line is open.
Nicole DeBlase: Yeah. Thanks. Good morning, guys.
Vicente Reynal: Good morning, Nicole.
Nicole DeBlase: Maybe just continuing the tariff and election question, more from a cost perspective. I guess, can you guys talk a little bit about the exposure that you have, whatever you're willing to provide, as a percent of COGS with respect to Mexico, Canada, things that haven't been an issue before? And then any plans to offset what we've already seen with respect to tariff actions?
Vik Kini: Yeah. Nicole, great question here. So let me just kind of start high level. First and foremost, let me just start by saying there's actually nothing in our guidance today explicitly with regards to what I'll call incremental tariffs or any of the mitigation actions. As you know, the tariff situation remains pretty dynamic, but we believe we're really well positioned, I think, to mitigate any of those impacts. So first and foremost, from an overall perspective, we're largely in region for the region from a manufacturing standpoint, which does insulate us a bit and limits the kind of the overall impact of tariffs compared to others. That being said, we're not immune to tariffs. Maybe to kind of size and, I'll say, first of all, kind of the, I'd say, domestic U.S. kind of purchases from China specifically, it's a single digit percentage of cost of goods sold, right? So relatively muted, but there's a little bit of impact there. As you would expect, we have kind of, what I'll call, tiered mitigation plans ready to be executed, and they vary based on the severity of the tariffs. That does include, I'd say, leveraging our global supply chain to shift certain third-party procured material to alternate sources based on the level of tariffs. And then as you would expect, the balance of tariff impact will be mitigated through pricing actions. Just kind of a little bit of a reminder. We faced a very similar situation back in the kind of 2021 time frame soon after the merger, and you saw us, we were able to navigate those waters pretty well. We stayed both dollar and margin accretive and positive kind of throughout the duration. And so overall, we feel pretty good about our ability to manage through the tariff impact. And as you'd expect, we're continuing to monitor it pretty closely. So feel pretty good kind of where we sit right now, but relatively limited. And then specific to your question on Canada and Mexico, again, similar, fairly small impacts. But again, same kind of routine we're going through from a China perspective, moving where needed and mitigating the balance through price.
Nicole DeBlase: Got it. That was super helpful. Thank you, Vik. And then on PST, can we just talk about what you guys are seeing with respect to -- you talked a lot about like the ILC Dover Life Sciences business. What about the legacy Ingersoll Rand business? Are you seeing that continued recovery play out on the biopharma and life sciences side? Thank you.
Vicente Reynal: Yeah, Nicole. I'll say on the legacy Ingersoll Rand Medical business, fairly stable. I don't want to say that there has been or that we saw an acceleration here in the fourth quarter. And so I'll say -- I'll call it out as being stable. And you can actually see it even also fairly stable as you kind of move sequentially kind of Q3 to Q4. So we'll see that as we kind of move into 2025, that's kind of a bit of a good news as we kind of overcome a lot of those kind of tough comps. And clearly, we see and meet with a lot of our customers in that life science tools segment where the IR Medical business kind of participates. And expect to -- nothing -- as we look into 2025, we don't have an expected V-shaped recovery in our guidance at all for that business. We actually decided to keep it as -- in the same vein as fairly stable and kind of muted recovery.
Nicole DeBlase: Thanks, Vicente. I’ll pass it on.
Vicente Reynal: Yeah. Thank you.
Operator: The next question comes from Nigel Coe of Wolfe Research. Your line is open.
Nigel Coe: Good morning and thanks for the questions. We've been dancing around the margin questions around PST. But I wonder, can you maybe be a bit more specific in terms of that path for PST margins back above 30%? And I'm wondering, based on your 1Q comments about that Q-to-Q, do we sort of start the year at a similar level in that 27%, 28% range and then ramp from there? Any kind of first half, second half comments would be helpful.
Vik Kini: Yeah, Nigel. I'll take that one. So I think the expectation here is in -- whether it be first half or 1Q, I think it's a little bit better than the exit rate you saw in Q4. It's probably healthier than that, probably closer to that upper 20s realm is kind of where you should expect PST in total to play. And then you'll see some kind of slight sequential ramp from there. So again, do we expect to see, like I kind of mentioned before, our Investor Day targets on a full year basis were approximately 100 basis points? We actually expect to do better than that on a full year basis. And I'll say, it will start a little bit more kind of muted as we kind of begin the year. But should -- as frankly as the comp on ILC Dover kind of happens midyear in June, you should see that kind of then be a bit more of an inflection point back into the second half of the year.
Nigel Coe: Okay. And then just maybe expanding on Nicole's question about the kind of what you seeing under the hood at ILC Dover. I think you called out double-digit growth, 10% growth or similar to that in the life sciences portion. What are you seeing in 2025? Maybe just dissect between A&D and Life Sciences for '25.
Vicente Reynal: For the Life Science, we continue to see continued momentum as we expect here in terms of our kind of long-term expectations of that low double-digit to high-single digit flows, and that remains largely on track as we kind of sit here today. And that has to do -- due to the end market exposure that the ILC Dover Life Science side of the business is exposed to, which is kind of more of the biopharma. As it relates to high-potency APIs, which are then related to GLP-1 as one example, or also the gene therapy treatment, the personalized immuno treatments that are happening that we see also acceleration of that. So I think the ILC Dover kind of what we like is that they're kind of exposed to some pretty good markets and command a very good position on that side.
Nigel Coe: Great. Thank you.
Vicente Reynal: Thank you.
Operator: The next question comes from Nathan Jones of Stifel. Your line is open.
Nathan Jones: Good morning, everyone.
Vicente Reynal: Good morning, Nathan.
Nathan Jones: Maybe we could start with an update on some of the things you talked about last quarter. I think on some of these projects you were talking about, tight capacity on engineering, site preparations, those kinds of things holding back some of those projects moving forward. Maybe just start with an update on that.
Vicente Reynal: Yeah, Nathan. I would categorize it as, I mean not a dramatic change from freeing up capacity now. But I think the key thing that I do think it changed is, I met with one of the customers, I think it was the last week of December, it was actually a week of December 20. And basically, that customer spoke about that in the end user to these customer was basically releasing a lot of the procurement, which then translates into eventually getting some of these orders. When I was in Australia, kind of a similar thing. I spent time with one of the customers that had one of those large projects. And again, same thing. It's just not getting canceled. But our conversations are definitely happening more and more often. So I would say that, that's kind of a dramatic -- or not a dramatic change, but the improvement is the conversations that are really happening. But is it now rapidly accelerating or anything kind of freeing up and going gangbusters? No, that's not the case. But again, positive with the conversations and the fact that none of the projects have been canceled. As a matter of fact, some of them are kind of moving in the right direction.
Nathan Jones: I guess, a follow-up question on that as it relates to U.S. policy. There's obviously been a lot of noise around tariffs and what's happening and what's not happening. And uncertainty does tend to keep people's hands in their pockets when it comes to making capital investments, and I think probably more outside of the U.S. where that impact is unknown today. Is that kind of uncertainty around what U.S. policy impact might be in places like Europe, China, Canada, Mexico moving some of those projects a bit further to the right, with that uncertainty, people sitting around kind of waiting to see what happens with U.S. policy?
Vicente Reynal: Yeah. I will say that not much has changed in terms of that, to be honest. And one of the data points that we track is clearly this MQL activity, which is -- it's like almost like a dynamic way to understand how customers are behaving in terms of their desire to purchase patterns, and that has not changed. So -- and we watch that daily and weekly, and the continued momentum that we see on customers about trying to understand so they can make decisions, that continues to be fairly robust as we even continue here. So no, at least nothing of significance that we have seen that the U.S. policy is creating a movement one way or the other.
Nathan Jones: What do you need to see as a catalyst to get these decisions made and get these projects moving forward at a better rate? Thanks for taking my questions.
Vicente Reynal: Yeah. Nathan. I think it kind of varies project by project to be honest. So I think it's difficult to kind of pinpoint to a specific point. I mean, the customer that I made a reference here at the end of December, things got released in that case because of some of the energy policies in the U.S. and the customer -- the end customer feeling more comfortable with the stance of the new administration. If I can talk about another EPC customer in Europe, a very large one, that the sole reason has been this capacity constraint of engineering. And we continue to work with them. As a matter of fact, we actually are putting some of our engineers to help that customer to kind of get things moving. But I would say, it kind of varies project to project or customer to customer.
Nathan Jones: Thanks for taking my questions.
Vicente Reynal: Thank you, Nathan.
Operator: The next question comes from David Raso with Evercore ISI. Your line is open.
David Raso: Hi. Thank you very much. On the organic sales guide, you said 75% is going to be priced, right, so 1.5%. But then you alluded to the pricing in the second half of the year is going to be 2%. So I was just curious. The acceleration that you're expecting in pricing, where are you seeing that? And is that a midyear price increase or something about the backlog, and then you're layering on maybe prices to start this year? Just trying to get a sense of why we see pricing accelerating as the year goes on.
Vik Kini: David, you hit it right on the head. You can attribute it to some of the midyear kind of pricing actions that typically happen. We don't have one uniform date for every business in terms of when they take pricing actions. And in fact, in -- given the environment, there have been many instances where you take multiple pricing actions through the course of the year. But what I would attribute it to is some of the planned in year pricing actions across the business and the expectation of that kind of coming into the P&L. It's also worth noting that, that phasing and kind of that expectation of a little bit healthier price in the back half is actually a fairly consistent comment between both segments.
David Raso: Okay. That’s interesting. Thank you so much. I appreciate it.
Operator: The next question comes from Andrew Buscaglia of BNP Paribas. Your line is open.
Andrew Buscaglia: Hey. Good morning, guys.
Vik Kini: Good morning.
Andrew Buscaglia: I just wanted to focus on M&A for a minute. You got this pipeline, and kind of along the lines of the question Nathan was asking, just do you see a year of setting up where some uncertainty might influence the types of deals that move forward? And then do you see more kind of single-double small deals rather than any sort of ILC Dover type acquisition moving across?
Vicente Reynal: Yeah. No, I'll say absolutely. I'll categorize, basically, our pipeline to be more along the lines of the bolt-on side in nature. And clearly, we're leveraging the current geopolitical dynamic environment across the world as a way to continuously push these family owned companies to move into a transaction, why keep worrying and be in a situation where there's a lot of uncertainty. And that continues to move pretty well. So yes, think about those companies in the funnel similar to the ones that we announced today in the -- on the prepared remarks, SSI Aeration, Excelsior Blower and Toshniwal. Same kind of bolt-on side in nature, great technologies that continue to be purchased at a great multiple and provide an incremental addressable market for us.
Andrew Buscaglia: Okay. And as it pertains to ILC Dover, sticking with M&A, I know that's kind of a new platform you intend to probably add on to. Are there other deals in that kind of life sciences arena you see in that pipeline? And then do you plan to get into kind of adjacencies with medical consumable selling to MedTech, maybe less so for life sciences application, but for other medical applications?
Vicente Reynal: Yes. Andrew, as a matter of fact, some of the companies that we have in the LOI, two of them are in the life science side of the business. And again, bolt-on in nature and would be very good additions as -- if they go through to the team. So that shows you how quickly we were able to gravitate and find some good transactions. In terms of adjacencies, we have a medical device kind of side of the business also on that ILC business, which we sell to MedTech -- to the medical device companies, and it's all around componentry, highly specialized component. I think we talked about the silicone injection molding or silicone extrusion of componentry that is kind of highly specialized. That can then get attached to a lot of our pump and then sell as a package. So I think more and more, yes, we have a funnel of companies that I kind of look in that nature. Nothing in the LOI phase, but some technologies that we're looking at.
Andrew Buscaglia: Okay. Got it. Thank you.
Vicente Reynal: Thank you.
Operator: This concludes the question-and-answer session. I'll turn the call to CEO, Vicente Reynal, for closing remarks.
Vicente Reynal: Thank you, Sarah. I just want to say thank you all for your interest in Ingersoll Rand. And a very special thanks to all of our employees who I know many of them are listening to the call and continue to think and act like owners that you are, to continue to drive another strong performance in 2025. So with that, conclude the call, and have a great day.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.